Operator: Good day and welcome to the Koppers Holdings, Inc. Fourth Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Quynh McGuire. Please go ahead.
Quynh McGuire: Thanks, and good morning. I'm Quynh McGuire, Director of Investor Relations and Corporate Communications. Welcome to our fourth quarter earnings conference call. We issued our quarterly earnings press release earlier today. You may access this announcement via our website at www.koppers.com. As indicated in our earnings release this morning, we have also posted materials to the Investor Relations page of our Web-site that will be referenced in today's call. Consistent with our practice in prior quarterly conference calls, this is being broadcast live on our Web-site and a recording of this call will be available on our site for replay through March 27, 2018. Before we get started, I would like to direct your attention to our forward-looking disclosure statement. Certain comments made during this conference call may be characterized as forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve a number of assumptions, risks and uncertainties, including risks described in the cautionary statement included in our press release and in the Company's filings with the Securities and Exchange Commission. In light of the significant uncertainties inherent in the forward-looking statements included in the Company's comments, you should not regard the inclusion of such information as a representation that its objectives, plans and projected results will be achieved. The Company's actual results, performance or achievements may differ materially from those expressed in or implied by such forward-looking statements. The Company assumes no obligation to update any forward-looking statements made during this call. References may also be made today to certain non-GAAP financial measures. The Company has provided with its press release, which is available on our Web-site, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. Joining me for today’s call are Leroy Ball, President and CEO of Koppers, and Mike Zugay, Chief Financial Officer. I will now turn the call over to Leroy.
Leroy Ball: Thank you, Quynh. Welcome everyone to our fourth quarter 2017 earnings call. Before getting into the details of our financial results, I’d like to recap our key accomplishments in 2017. Now at Koppers' everything begins with safety, so let’s start with the Zero Harm update. After visiting 19 different Koppers' locations throughout this past year I can say with confidence that our safety-first culture continues to be embraced by our employees across the globe. At each of these locations, I always do my best to engage our safety committees, management teams and individual employees that are important to them. And we continue to build on momentum that followed our second annual Kopper Zero Harm Zero Waste Leadership Forum held in September in Pittsburg. And during the past year, every one of our operating locations completed training on the first three modules of safety leadership training designed to incorporate our Zero Harm values and all that we do. Our all operational and executive leadership including myself participated in leadership diagnostic survey meant to provide constructive feedback as to how each of us can become better safety leaders. In addition, we significantly advanced the development of our life saving rules, which will go into effect in January 2019 and those rules will provide our people who are performing the most inherently dangerous work even more peace of mind that their safety always comes first. In 2017, 13 of our 31 operate facilities work accident free and a number of our full year - recorded incidents with slightly below our 2016 results. Additionally, our serious incident precursors dropped significantly year-over-year which is a positive sign of our efforts prioritize training and education around identifying and mitigating the most potentially dangerous exposures are showing results. On a daily basis, we’re practicing empathetic leadership and demonstrating real concern for our people’s health and welfare. I'm inspired by what’s being done to make our company a better, stronger, safer place to work. And certainly, we still have a lot to do to get to zero, but I'm pleased with our progress so far. Since we started this journey little more than two years ago, it’s been our team’s core belief that if we put the health and well-being of our people first success will follow. Our progress today shows it’s working and I believe that we’re on the right path to a stronger future. Now, I’d like to summarize other key accomplishments to this past year that reinforced our strategy to improve profitability and continue our focus on treatment technologies. In early 2017, we successfully executed on our bond refinancing, lowered our overall cost to borrowing and extended our long-term debt payment date to 2025 with new notes offering compared with 2019 previously. Also, we entered into a new five-year credit agreement with our lending group providing for a $400 million revolving credit facility maturing in February 2022. As a result of these financing transactions, we have greater flexibility to pursue opportunities to invest in our business. Now as part of the strategy has streamlined our car materials and chemicals business or CM&C, we entered in the long-term coal tar supply agreement with certain key suppliers in early 2017 to satisfy a significant portion of our raw material needs in a cost-efficient manner. Also, we received a final payment of our loan associated with the sale of our minority interest in our TKK joint venture in China and we exited that joint venture as part of our plan to reduce our footprint in China. In our railroad and utility products and services business or RUPS we extended or amended supply contracts to several of our platform railroad customers and increased our long-term market share with several of those customers. While we’re not able to disclose these specifics due to contractual reasons we’re very pleased and our customers continue confidence in Koppers of the key cross tight supplier. In our Performance Chemicals business, or PC, we completed several capacity expansion projects at our facilities Hubbell, Michigan, Rock Field South Carolina and Wellington Tennessee. Also, Micro Pro, a micronized copper wood preservative technology, developed by our PC business, just celebrated 10 years of commercial production. Now since its introduction in 2007, more than 20 billion wood field have been treatment with the micronized copper preservative. PC holds the number one spot in market share globally for wood treating chemicals and Micro Pro is a key contributor to our company’s success. From a financial perspective, 2017 was a record setting year, with record adjusted EBITDA of $200.4 million and adjusted earnings per share of $3.68. Our balance sheet has also continued to improve as evidence by our net leverage ratio of 3.1 at year end 2017 compared with the ratio of 3.7 at prior year end. Now these are just the few highlights and are greater example the leadership and hard work being demonstrated by the Koppers team. I like to thank my senior Management team and the employees, who are all involved in getting all these great works done. Now let’s talk about our December quarter financial performance. The tough decisions that we made to shutter our sale unused capacity in our CM&C business in 2015 and 2016 are beginning to benefit at levels higher than even we thought possible and certainly at a pace that is faster than we anticipated. As market conditions for most of our CM&C products began turning in our favor around midyear 2017, it is magnified to cost benefits we have created through our many restructuring initiatives. Now four our RUPS business, the results continue to be disappointing due to the ongoing demand weakness for treated crossties and pricing pressures related to an inventory over supply in the market, that is persisted for much of the year. Now on the other hand the PC business, saw strong sales volume to North America for Kopper based wood preservatives and additives, due to healthy market trends and the repair and remodeling markets driven by existing home sales. Although 2017, was one of the best years in Koppers' history, I believe there is more to come as we continue to grow our presence in the higher value wood treatment technologies marketplace. Now let’s get into some specifics about each of our business segments. As I mentioned, our RUPS business was again negatively affected by the continued demand weakness from Class I customers primarily related to lower volumes of untreated and treated crossties. In the commercial market we continue to deal with the depressed pricing environment, although things maybe beginning to improve, which, I’ll talk about a little bit later. Our rail structures business, which typically does project work related to bridge repair services, has also seen a slowdown, as rail road to delay projects to conserve cash. These negative factors were partially offset by higher volumes related to our rail joints in the U.S. and our utility products in Australia. Now on a year-over-year basis, segment sales for the third quarter decline by 12.4% and adjusted EBITDA was lower by 89%, reflecting a decline in sales and unfavorable mix and an under absorption of fixed costs. We knew that 2017 was going to present a challenge for this segment of our business, but unfortunately was an even greater challenge that I had anticipated, and the results surely reflect that. The current RUPS business model is being revaluated in 2018, and we will share our plans for needed changes when appropriate. For our performance chemical segment, sales increased 4% due to higher demand in North America for Kopper base wood preservatives and additives. Customer demand was strong due to favorable market trends in the repair remodeling market drive by existing home sales. Adjusted EBITDA was 19.9% for the fourth quarter which is 350 basis points higher than the prior year quarter. The improved profitability also reflects investment that were made to expanded capacity and productivity for certain processes and some raw material hedging gains partially offset by higher raw material costs. Our Carbon materials in Chemicals CM&C business reported its fifth consecutive quarter of margin growth driven by a sales increase to $64.8 million or 65.6% higher than the prior year quarter, the sales increase was primarily driven by a combination of higher pricing and volumes for carbon pitch in Australasia and Europe, due to increased demand in those regions. For CM&C market tailwinds combined with restructuring benefits generated higher profitability in the fourth quarter than in the all of the prior year. Adjusted EBITDA margin was 14.5% in the fourth quarter and $12.9 million higher than the prior year quarter. I’ll now turn it over to Mike to discuss some key highlights from the fourth quarter and 2017 results.
Michael Zugay: Thanks, Leroy. Let's begin by referring to the slide presentation provided on our web-site. Starting with slide four, sales were $366 million for the quarter, which was an increase of $53 million or 17% from $313 in the prior year. Our CM&C business reported higher prices and higher volumes for carbon pitch in Australasia and Europe and higher demand for phthalic anhydride in North America. The PC business experienced higher North American sales volumes for copper-based wood preservatives and additives due to favorable trends in the repair and remodeling markets. The RUPS was negatively affected by weakness in demand for crossties and railroad bridge services partially offset by higher sales of rail joints in the U.S. and utility products in Australia. On slide five, consolidated revenues for 2017 were $1.5 billion, reflecting an increase of approximately $60 million or 4% from the prior year. Moving to slide six, adjusted EBITDA was $42 million compared with $38 million in the prior year due primarily to higher profitability from PC and CM&C partially offset by lower profitability for RUPS. CM&C profitability improved significantly from the prior year driven by a combination of higher pricing and volumes for its carbon-based products as well as cost savings from its restructuring initiatives. PC's profit margins benefited from strong customer demand as well as capacity and productivity improvements, RUPS was negatively affected by lower spending across both the Class 1 and commercial markets, combined with ongoing pricing pressures on commercial crossties. Moving to slide seven, this shows our EBITDA bridge of $200 million in 2017 compared with only $174 million in the prior year. The strong profitability from our CM&C and PC segments more than offset the decrease in RUPS. Now I'd like to discuss several items that are not referenced in the slide presentation. Adjusted net income was $9 million for the quarter compared with $8.5 million in the prior quarter. Adjustments to pretax income totaled $80.1 million for the quarter and $7.1 million for the prior year. And this primarily consisted of restructuring expenses for both periods. Adjusted earnings per share were $0.40 for the quarter compared with $0.40 per share in the prior year. The effects of U.S. Tax Reform had a significant impact on our fourth quarter and full year results. Tax reform moves the U.S. to a territorial tax system which will benefit Koppers' longer-term due to our foreign operations that had significant cash generation potential. In order to convert to a territorial system, tax reform introduced the onetime transition tax on on-tax foreign earnings that resolved in an income tax charge for us of $13 million. Combined with the reduction in the value of our deferred tax assets from the rate reduction to 21% our total tax reform charges totaled $30.5 million in the fourth quarter or $0.92 of GAAP EPS. Looking forward to 2018, we expect our effective tax rate to be in the 25% range. While we will enjoy the benefits of the lower U.S. corporate tax rate, some of this benefit maybe offset by other aspects of tax reform such as limitations on interest expense deductions and the minimum tax on foreign earnings. We are still analyzed the impact of tax reform on our business and we'll continue to evaluate additional guidance issued by the applicable tax authorities. For the year, cash provided from operating activities was $102 million, compared to $120 million in the prior year. This slight reduction was primarily due to a voluntary cash payment of $7 million into our U.S. defined benefit pension plan and increases in working capital primarily in receivables and inventory. 2017 CapEx was $68 million, compared with $50 million for the prior year. The current year amount consists of spending on a new naphthalene unit, construction at our CM&C facility in Stickney, Illinois and expanding production capacity at our PC facilities in the U.S. At the end of last year, we began using a net leverage ratio to monitor our debt status. Due to a combination of higher profitability as well as lower net debt, our net leverage ratio as seen on slide 8 in the presentation, improved to 3.1 at year-end, which shows a significant improvement compared with 3.7 for the prior year, and which was as high as 5.1 on a pro forma at the end of 2014. Also, in February 2018, we amended our $400 million revolving credit facility to increase its capacity to $600 million in order to provide us with additional financial flexibility. Terms under the amended facility are relatively consistent with the original agreement. Now with that, I would like to turn the discussion back over to Leroy.
Leroy Ball: Thank you, Mike. Regarding the outlook for each of our business segment, let's start with our Railroad Utility Products and Services business. According to the Association of American Railroads or AAR, rail traffic finished 2017 on a positive note, in December 14 of the 20 car load categories saw year-over-year gains and intermodal volumes was higher for the 11th consecutive month setting a new annual record. For 2017, the total U.S. railcar load traffic was up 2.9% year-over-year, and intermodal unit were 3.9% higher than prior year. The total combined U.S. traffic in 2017 increased 3.4% compared to last year which is consistent with industry forecast. The AAR reports that the decline in coal transportation due to low natural gas price and environmental concerns regarding the burning of coal has been more than offset by other major categories of freight, However, the lower volumes in coal being transported has resulted in a decrease in heavy haul traffic. Consequently, the Class 1 railroad have been deferring some of the maintenance and repair activities and right-size the inventory levels as they look to conserve cash. We expect that demand for crossties replacement will only be marginally better in 2018, due to lower spending trends. As a result, we expect to see improvement in our treating business serving the North America rail industry, but it will likely be smaller than originally thought and begin late in the third quarter early in the fourth quarter of 2018. On the plus side, we are starting to see a tick-up in commercial pricing after dealing with 12 to 18 months of a difficult pricing environment. The orders that we are getting today won't be reflected in our results until the second and third quarter and some of that pricing will cover the increase cost of untreated material that we're beginning to see, but we should still see some pricing drop to our bottom-line as the year progresses. While our commercial volumes only approximate about a quarter of our overall volumes in this segment, there is still a critical determinant of the health of our business and the good news is that things are beginning to look up. As reflected on slide 10, we are providing 2018 adjusted EBITDA guidance for our RUPS segment of approximately $43 million, which is the modest $4 million increase from prior year, and takes into account all the factors that I have just spoken about. On our performance chemicals business, the market for existing homes continues to show mixed signals as a profitability pressures persisted and interested buyers significantly outweigh housing inventory. The National Association of Realtors reported the total existing home sales subsided for the month of December, but on an annual basis 2017 was higher than the prior year, our 1.1% was the best sales year in 11 years. In January, existing home sales slumped for the second consecutive month and experienced largest decline on an annual basis in over three years with all major read experience in monthly and annual sales decline. Total housing inventory has been declining in the lack of available housing as a result in an upward pressure on prices, the same time 2018 is expected to be another strong year for residential renovations and repairs with growth accelerating as the year progresses according to the leading indicator of remodeling activity or LIRA report about the Joint Center for Housing Studies of Harvard University. Now due to study gains in the broader economies as well as ongoing restoration efforts related to recent natural disasters in the U.S. the LIRA estimates that homeowner spending on improvements and repairs will approach $340 billion in 2018, an increase of 7.5% from estimated 2017 spending. Additionally, the consumer confidence index is reported by the conference Board continues to show improvement. In January, the index was reported 125.4 up from 123.1 in December 2017, and 113.7 in December 2016, which should provide a positive backdrop for housing related demand. In general, consumer’s expectation remains in historically strong level which suggest continued economic growth. From a cost perspective our raw material cost has being increasing primarily due to copper pricing which trended higher for 2017 and continues into 2018. We continue to hedge a majority of our requirements over one to three years’ timeframe in order to provide short term certainty of our cost structure by lessening the impact that may arise and rapidly fluctuating commodity markets. Of course, our hedging program doesn’t enable us to avoid cost increases, merely delay them. In 2018, we will experience approximately $14 million of increase cost as result of high average raw material cost. As you can see on page 11 of our slide presentation, we are expecting to generate 2018 adjusted EBITDA of approximately $82 million for PC, which is $6 million lower than prior year. The year-over-year decline represents our ability to mitigate approximately $10 million of the $14 million related to our expected higher raw material cost, through combination of higher volume, some price adjustments and bringing more copper processing in house to our capacity expansion over the past year. Now also we expect to have an unfavorable impact on our year-over-year profitability of approximately $2 million, primarily related to an extended plant average of one of our international operating location. Moving now to the outlook regarding our CM&C business, where we’re achieving a significant rebound and profitability driven by a stronger overall pricing environment particularly in China. In 2017, there was an overall tight in market supply of coal tar and carbon pitch in China, and it has put upward pressure on both raw materials and finished product pricing. This is due to an ongoing initiative by the Chinese government to reduce pollution and improve air quality, and the impact has been the shutdown of orders, steel and coking capacity, this does not mean environment on a mission standard, and has driven increased demand for products requiring coal tar pitch. The pricing for coal tar products in the region has increased significantly and as a result our recently constructed coal tar distillation facility serving those markets has benefited from these changes and regulations. In China alone, we’re expecting a significant increase in EBITDA in 2018 versus 2017 based upon current market dynamics. A good portion of that increase is expected to be realized in first quarter based upon current agreed upon, finished good pricing with our main customers that serves electrode market. Now further upside remains, of current first quarter pricing hold for the second quarter and beyond. And we continue to believe that the current pricing environment for our products in China does not sustainable long-term, now we revert to more normalized level at some point. It’s just a question of when, so, we continue to be very cautious about setting expectations that could revert themselves, as suddenly as they appeared. In Australia, the market has also been favorable since pricing has correlated to the trends seen in China. However, we expect that raw material pricing that lagged the price increases we saw in 2017 will catch up in 2018, and for Australian region back into very successful 2017 performance. The shortfall that we expect in Australia should be mostly offset by improvements in our combined North America and European regions, where demand dynamics are expected to be strong and additional cost savings should be realized from the mid-year completion of our new naphthalene facility at Stickney Illinois plant. Therefore, as shown on slide 12, our anticipated 2018 adjusted EBITDA guidance for CM&C is approximately $87 million, which represents a $12 million improvement over prior year. On slide 13, you can see the various drivers in our sales guidance for 2018. We’re projecting the CM&C will benefit from both higher pricing and higher volumes, with China providing most of the benefits and PC demand is expected to stay strong also. Therefore, these positive factors will more than offset from lingering sales weakness in our RUPS business. And as a result, the generally positive economic environment, as well as market share growth, we anticipate our 2018 consolidated sales will be approximately $1.7 billion. Turning to slide 14, our guidance for 2018 consolidated EBITDA on an adjusted basis is approximately $210 million, a 5% increase compared to the prior year adjusted EBITDA of $200 million. Accordingly, our 2018 adjusted EPS guidance, is projected to be between $3.90 to $4.10 per share, compared with $3.68 per share in 2017, which will represent a new record high adjusted EPS for the company and a 9% increase, using the midpoint of that range. Capital expenditure for 2018 are expected to be approximately $55 million to $65 million, and that includes approximately $7.5 million of carryover from 2017, and several attractive capacity expansion projects as well as improvements in the safety and reliability of our existing infrastructure. Now, from my standpoint, 2017 represents the best year in Koppers' history, as we touched the $200 million market adjusted EBITDA for the first time, reached another all-time best of adjusted EPS of $3.68. Increased our share price for the year by 26% and finished above $5 a share for the first time in our history. Broader net leverage down to a point just above our average target level of three and most importantly continued to improve the safety of our operating locations around the world. Our 1,800 plus global employees deserve all the credit for that success, for they are the one who had sacrificed and done all the difficult work and the trenches that made it happen. Now, after all that success, I worry how we could follow that up with an even better year in 2018, knowing that we’re winding down on our restructuring savings, knowing that we’re facing significant raw material headwinds, and knowing that we’re likely do not see much organic growth in markets where we already hold significant market share. Below and behold demand for our products tighten significantly in China and the sales contract that we renegotiated in 2015 with our main customer in that region all of sudden begins returning profits at level that I don’t think anyone could have imagined to that point in time. But now as we begin 2018 I'm confident that we will again reach new highs in adjusted EBITDA and adjusted EPS while also beginning to see our restructuring charges abate as we get near to end of the final resolution for the few remaining facilities that have a limited remaining life for Koppers. Now for doing that we begin to turn our focus to the opportunities to grow our wood driven base businesses through selective acquisitions which represent another new and exciting chapter for our company. The last three years have been a world end of activity accommodating in a great 2017. I continue to believe that we have a long runway ahead of us and we’ll continue to outperform which would drive our people every day. I’d now like to open it up for questions.
Operator: [Operator Instructions] We’ll go first to Lawrence, Lawrence Alexander of Jefferies.
Lawrence Alexander : Good morning could you help with a couple of IHMs can you give your thoughts on working capital use in 2018 compared to 2017 like any gives and takes how you think about D&A and CapEx over say the next three, four years?
Michael Zugay: Sure Lawrence, this is Mike Zugay calling. The working capital is going to increase because our sales are going from $1.5 million to $1.7 million so we’re going to see a little bit of money put into additional receivables and inventories although we’re going to continue to manage those as appropriately as we can. From a standpoint of other items to be used we at this point in time still do not see at least the current portion in 2018 of using any funds for dividends or share buybacks. As you know and as Leroy has mentioned our next avenue is growth on the top line and we will be looking at mergers and acquisitions, so we see cash flow contributing to that as we go forward in 2018.
Lawrence Alexander: Okay. And then your perspective on CapEx and D&A?
Michael Zugay: Yeah CapEx as Leroy mentioned we’re going to be somewhere between $55 million and $65 million for 2018 about $7.5 million of that amount is the carryover from 2017.
Leroy Ball: Hey Lawrence, I think our expectation is that the CapEx for us will be around that probably at $55 million mark over the next couple of years based upon some projects that we see in the pipeline. From a D&A standpoint I think this year we’re expecting that will probably be just slightly under $50 million.
Michael Zugay: Right about $49 million a drop from $53 million Lawrence from 2017.
Lawrence Alexander: Okay perfect. Thank you.
Michael Zugay: You’re welcome.
Operator: And we’ll go next to Roger Smith of Bank of America Merrill Lynch.
Roger Smith: Thank you and good morning. In RUPS can you stay down some of your capacity to right size that business I mean you did such a good job in CM&C maybe this business costs for the same kind of activity?
Michael Zugay: Yeah so RUPS is it’s a different animal than CM&C from that perspective so think about our facilities in that segment of the business we essentially are online with all of the class ones which is the predominant amount of our business and we actually took a plant down a few years ago our Green Spring West Virginia plant which is a plant that serve the CSX and at that time we were taking the CSX plant from three that we had operated down to two. Today essentially, we have two plants online for CSX with the DNSF, two with the UP, two with DNS so and then we have the one in Canada that’s online with the CP. So, from the standpoint of serving these Class I, I believe that there would be a high level of discomfort in putting such a large amount of business, placing a large amount of business with a supplier like us that they’re reliant upon for product coming out of only one facility. So, I don’t really see an opportunity to take capacity out from that standpoint. I think the footprint is what the footprint is. We just need to reconsider how we operate, the technology that we use in those facilities, which in most cases is pretty old technology. And I think just look at ways that we can take cost out of business. But it's not going to come through a consolidation, it will come through different efforts.
Roger Smith: Okay. It should like you expanded your revolver, I heard correctly to $600 million from $400 million since December 31 if I heard that correctly. And if I did, was there any change in the 2.75 secured leverage rate maintenance covenants recognizing if you do an acquisition it changes a bit.
Michael Zugay: I think it built into the credit agreement is a bump up in that covenant after we do an acquisition. So, from that standpoint, there is that relief. I think what we're looking at and maybe to clarify is our current agreement before we amended it was a $400 million revolver with the $100 million accordion. So, in total, it was having the availability of $500 million. And all we've done is with our amendment is to increase that to $400 million in the revolver and $200 million in the accordion for a total of $600 million. So, when you look at the difference between the old agreement and the first amendment, it's actually only $100 million more in availability. And we're looking at that for just additional flexibility as we move into 2018.
Roger Smith : Just to make I understood. You act I don't know if the right pact or award is, but you action both the $100 million accordion. And then you also have the actual 100. So, you have no accordion left, you right now have the full $600 million currently is that correct?
Michael Zugay: That is correct.
Roger Smith : And the 2.75 secured leverage ratio maintenance covenants, that hasn't changed.
Michael Zugay: That will not change unless we do a major acquisition when as -- this rate.
Roger Smith: Got it. And lastly, has higher copper prices also pressured your PC business, or is I recognize copper has been the main pressure? Just want to know about --?
Michael Zugay: Yeah, I mean we're seeing pressure there too. But it is copper the main driver of our cost increase in that business.
Roger Smith : Thank you very much.
Michael Zugay: You're welcome.
Operator: We'll go next to Liam Burke of B. Riley FBR.
Liam Burke: Thank you. Good morning, Leroy. Good morning, Mike.
Leroy Ball: Hi Liam.
Liam Burke: Leroy you mentioned in your prepared comments that you had an increase in demand in bonded insulated joints. But the rail CapEx spend all delay the pickup in the crossties business. Generally, I would think there will be correlation there between maintenance CapEx above bonded insulated joints and ties. Why the disconnect?
Leroy Ball: Yeah, that's good question Liam. I don't really have a good answer for you. I mean we actually saw the pretty good year all the way around on the rail joint side. I think some of that was market share additional market share that we were able to take. So, I think that from that standpoint that has helped volumes in that particular business segment for the rail. While we haven’t seen it in the other parts. And in addition, we've been able, that’s a part of the business that we actually are able to international and export. It will be certainly a lot easier than we can on the crossties side. So, we saw a pickup on some sales -from that standpoint as well.
Liam Burke: Is there big, business big enough to move the needle on the RUPS side of the revenue?
Leroy Ball: Not really. I mean crossties drive that business. The two maintenances away businesses that we have today are nice additions. But in any given year they're going to impact the EBITDA by maybe $2 million to $3 million plus or minus.
Liam Burke: Okay. And on Stickney, do you have a sense as to when that consolidation will be completed?
Leroy Ball: About midyear.
Liam Burke: Okay. So, it hasn't changed. You're pretty much on track for midyear completion?
Leroy Ball: Yeah, we think so. I mean the cold weather, the cold weather snap that occurred at the end of the last year early into this year, lost the little bit of time for us. But we still feel pretty good about more or less being online with that right around midyear. So, nothing next material enough of change to where, we’re concerned at this point.
Liam Burke : Great, thank you Leroy.
Leroy Ball: Thank you.
Operator: We have no further questions. I'd like to turn the call back over to our CEO Leroy Ball, for any addition of closing comments.
Leroy Ball: Well, thank to everyone, who took the time to participate on today’s call, we remain energize to deliver another great year performance and thank you for your interest in our company and the support you provide, as we continue to make positive change, have a great day everyone.
Michael Zugay: Thank you.
Operator: That does conclude our conference for today, we thank you for your participation. You may now disconnect.